Operator: Greetings, and welcome to inTEST Corporation’s Fourth Quarter and Full Year 2021 Financial Results Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now turn to turn the call over to Deb Pawlowski of Investor Relations. Thank you. You may begin.
Deb Pawlowski: Thanks, and good morning everyone. We certainly appreciate your time today. Joining me for inTEST fourth quarter full year 2021 financial results conference call are Nick Grant, our President and CEO; and Duncan Gilmour, our Chief Financial Officer and Treasurer. You should have a copy of the fourth quarter 2021 financial results, which we released this morning before markets opened. If not, you can access the release, as well as the slides that will accompany our conversation today at our website www.intest.com. After our formal presentation, we will be opening the line for Q&A. If you'll turn to slide two in the deck, I will first review the Safe Harbor statement. You should be aware that we may make some forward-looking statements during the formal discussions, as well as during the Q&A session. These statements apply to future events that are subject to risks and uncertainties, as well as other factors that could cause actual results to differ materially from what is stated here today. These risks and uncertainties and other factors are provided in the earnings release, as well as with other documents filed with the Securities and Exchange Commission. These documents can be found on our website or at sec.gov. During today's call, we will also discuss some non-GAAP financial measures. We believe these will be useful in evaluating our performance. You should not consider the presentation of this additional information in isolation or as a substitute for results prepared in accordance with GAAP. We have provided reconciliation of non-GAAP measures with comparable GAAP measures in the tables that accompanied in today's release and in the slides. So with that, if you would please turn to slide three. I will turn it over to Nick to begin. Nick?
Nick Grant: Thank you, Deb. And good morning, everyone. Thanks for joining us this morning for our earnings report. Before we begin, I would like to acknowledge the world events that are occurring and extend our thoughts and prayers for everyone that has been impacted by this conflict. We ended 2021 strong with continued solid execution on our five point strategy. I am pleased with our progress around driving growth, diversifying our markets and customer base and ensuring we have the right talent to achieve our goals. I want to thank the entire inTEST organization for their dedication and outstanding performance throughout a challenging but transformational year for the company. We had exceptional revenue growth of 50% to $22.4 million in our fourth quarter compared with the prior year period. For the year, revenue finished up nearly 60% to $85 million, which is the highest this company has achieved in over two decades. While quarter-to-quarter there can be variances within our target markets, we believe that our very strong results for the quarter and the year validate our diversification and growth strategies. We have instituted more discipline and accountability around sales, marketing and customer relationships. We also are adding the resources needed and investing in additional Marcom activities to effectively drive greater awareness of our offerings. Our efforts to go deeper into accounts and widen our customer base are paying off. For the quarter and the year, we had robust demand for our precision technologies, with particular strength in both front end and back-end of the semiconductor industry. Our strategy is enabling us to capture greater market share as we strengthen our customer relationships, develop new products and reignite relationships with former customers. We also are strengthening our position in the very front end of the semiconductor manufacturing process with our induction heating technology, which is used for crystal growth processes. We believe that our diversification efforts around targeted growth markets are working well. This is demonstrated by the strong sales of our leading test and process solutions to the automotive industry, including electric vehicles. In fact, we saw our bookings more than triple and sales more than double in the automotive electric vehicle industry in 2021. Our diversification efforts were enhanced by the three acquisitions, which added $1.5 million in revenue in the quarter, primarily in security and life sciences. There were a few factors that impacted gross margin, some of which we expect to see improve. We of course are not immune to the supply chain constraints and inflationary pressures everyone is facing. While these challenges are currently not improving, we do expect some relief as pricing actions began to follow through, along with anticipated supply chain improvements in the latter half of the year. The change in product mix was another reason for the margin contraction. This was mostly due to the significant volume earlier in the year we had for back-end semi cap equipment, specifically custom manipulators, docking systems and test interfaces. That moderated industry investments shifted focus towards front end fab expansions. Our custom engineered solutions in this back-end space generally tend to command our highest margins. Duncan will talk further regarding our margins and the atypical cost impacting the quarter. We made some tremendous progress expanding our portfolio of solutions with the three acquisitions in the quarter that further diversifies our offerings, and expands our solutions to better serve our target markets. On the third quarter call, we discussed the October acquisitions of Z-Sciences and Videology Imaging Solutions. In December, we acquired Acculogic Inc. and its affiliates. If you'll turn to slide four, this provides a brief overview of Acculogic and their automated test equipment. Acculogic provides differentiated Flying Probe knowhow and solutions to the electronic circuit test markets. Of specific interest to us, is the early position the Company has gained in electric vehicle battery testing applications. These products expand our portfolio of solutions for electric vehicle OEMs and battery manufacturers. With the addition of this differentiated automated test equipment, we are creating an electronic test platform that goes beyond the semiconductor market with deeper penetration in automotive, defense, aerospace and life science markets. With that, let me turn it over to Duncan to review the financials in more detail. Duncan, over to you.
Duncan Gilmour: Thank you, Nick. Starting on slide five, we provide some detail regarding our top line. Revenue for the fourth quarter was $22.4 million, a 50% increase over the same period last year, and just below the top end of our guidance. Multimarket revenue grew 35% from the third quarter fueled by strength in the automotive market, while our semi business remains near recent highs, even as it’s pulled back from record levels in the second quarter of 2021. As Nick noted, our investments in innovations, the sales and marketing discipline being instilled throughout the organization, a drive to accountability and the increased sophistication of our operating processes of all resulted in a larger share of customer wallets and new customers. This has been especially true with a renewed emphasis in the semi market that has also provided significant tailwind advantages. In addition, a successful acquisition strategy enabled market expansion and contributed about $1.5 million in revenue in the quarter and for the year. Moving to slide six, our fourth quarter gross margin of 46.3% compares with 49.2% in the third quarter of 2021 and 45.2% a year ago. The contraction in sequential margin despite higher volume reflected less favorable product mix, lower absorption of fixed manufacturing costs due to production inefficiencies, the lagged effect of price increases and the timing of acquisitions within the quarter. As Nick noted, our back-end semi business is the most lucrative in our product portfolio, and earlier in the year, we benefited from the unusual spike in product demand. The measurable spike in demand for the year was a combination of strong and market pull through a new leadership and focus for the business that has reignited our customer relationships. As to production inefficiencies and the lagged effect of price increases, we continue to actively manage the on-going challenges of supply chain constraints and are continuously playing catch up on inflation, as regular rollouts of pricing actions have tended to lag in backlog. The timing of acquisitions refers to the impact of our acquisitions closing towards the tail end of the quarter when slowdowns during the November and December holiday periods brought on overhead costs without proportionate revenue. Obviously we expect that this corrects itself going forward with more consistent quarterly performance. Year-over-year the 110 basis point expansion and gross margin was due to positive volume, product mix and production efficiencies gained from the consolidation, the back-end semi business into our New Jersey operations. Slide seven details our operating expenses and expectations for the first quarter. Operating expenses were $10.1 million in the fourth quarter and included approximately $1.6 million in total atypical acquisition and financing expenses, $750,000 and incremental operating expenses related to acquisitions, and $200,000 of additional intangible amortization expense. Total intangible amortization expense in the quarter was $522,000. The $2.2 million increase related to the trailing third quarter included about $1.3 million in sequentially incremental costs related to atypical financing and acquisition expenses, and the aforementioned incremental operating and intangible amortization expenses approximately $950,000 in total. Existing total business operating expenses were relatively flat quarter-over-quarter. For 2022, we expect quarterly operating expenses to range from $10.5 million to $11.2 million increasing throughout the year. This includes our current quarterly estimate of about $650,000 of total intangible amortization expense. The increase in operating expenses reflects a full quarter of incremental operating costs related to all acquired businesses. You can see our bottom line and adjusted EBITDA results on slide eight, we had net earnings of $287,000 or $0.03 per diluted share for the fourth quarter, which compares with net earnings of $2.2 million or $0.20 per diluted share for the third quarter. On an adjusted basis, EPS was $0.07 per share. I'll remind you that this includes the negative impact of approximately $1.6 million of atypical costs in the quarter, which after tax amounts to approximately $0.14 per diluted share. The effective tax rate in 2021 was around 13%. We benefit from tax credits related to export sales. Adjusted EBITDA was $1.4 million for the fourth quarter, up measurably from the prior year period on stronger volume and operational efficiencies, compared with the trailing third quarter adjusted EBITDA declined primarily due to the contraction in gross margin already discussed, as well as the atypical cost items that we do not adjust out. Beginning with the third quarter, we began reporting adjusted EBITDA, which removes the impact of stock-based compensation. Stock-based compensation is a non-cash expense and as such does not impact our liquidity. Accordingly, we believe our adjusted EBITDA is a better performance measure to assess the strength of our cash generation than EBITDA alone. More detail on the calculation of adjusted EBITDA can be found under non-GAAP financial measures in our earnings release. Now turn to slide nine for our capital structure and cash flow. As previously announced, in October we executed a new five year credit agreements, which included a $25 million non-revolving delayed draw term loan and a $10 million revolving credit facility. During the fourth quarter, we used $20.5 million under the term loan facility to finance our acquisitions. At the end of the year, we had $20.1 million drawn on the term loan and had no balance outstanding on the revolver. We believe, we are better leveraging our balance sheet than we had historically, and have plenty of financial flexibility to continue executing on our five point strategy for growth. Cash and cash equivalents increased by $10.9 million in 2021 to $21.2 million. We continue to demonstrate our strong cash generation capabilities and generated $10.8 million of cash from operations for the year. Capital expenditures during the fourth quarter were $417,000 up from $114,000 in the third quarter. For the year, CapEx was approximately $1 million and included investments and capacity expansion as well as maintenance. For 2022, we expect capital expenditures to be around 1% to 2% of annual revenue. However, depending upon changes in market demand or manufacturing and sales strategies, we may make purchases or investments as we deem necessary and appropriate. With that, I will now turn the call back over to Nick.
Nick Grant: Thanks Duncan. Slide 10 highlights our orders and backlog performance. Overall, demand for our products and solution remains robust, with orders for the quarter and year reaching record levels. While we will always welcome market tailwinds, our objective is to execute our five point strategy to grow faster than our served markets. We continue to extend our reach and targeted growth markets while deepening customer relationships across these industries. Orders for the fourth quarter increased 73% over a year ago to $30.5 million, surpassing our previous high. This primarily was due to demand for our technologies and semi outpacing the market growth and include a large front end order that will ship throughout 2022. Additionally, we reached record orders for the year of approximately $102 million driven by strong demand across markets, especially semi electric vehicles, and life sciences, along with some uplift from the acquired businesses. Our backlog at quarter end was also at record levels at $34.1 million, approximately 65% of which is expected to convert to sales in the first quarter. Please turn to slide 11. And I will provide our 2022 outlook and first quarter expectations. We had a strong year of progress with our five point strategy and are expecting to continue to drive growth as we diversify our markets and expand our customer base. Our recent acquisitions added to our product offerings and technical expertise and extended our customer base into adjacent high growth markets. Integration efforts are well underway across all three businesses. We are issuing full year guidance for 2022. We expect revenue to be in the range of $110 million to $115 million, with gross margins ranging throughout the year between 46% and 49%. We also expect interest expense to run approximately $150,000 per quarter. Our effective tax rate is anticipated to be between 15% to 17% for the year. For the first quarter of 2022, we expect revenue to be in the range of $23 million to $25 million as we continue to work through supply chain and logistic challenges. We expect GAAP EPS to be in the range of $0.04 to $0.09 per diluted share, and adjusted non-GAAP EPS in the range of $0.10 to $0.15 per diluted share. Our guidance is based on our current views with respect to operating and market conditions and customer forecasts, which are subject to change as well as our expectations for the balance of the quarter and are subject to any strategic investments we may choose to make. It also assumes supply chain challenges remain unchanged for the first half of the year, and begin to modestly improve in the second half. Actual results may differ materially as a result of among other things, the factors described under forward-looking statements found in the materials that accompany this conference call, including the press release and the slides. Let me now hit the key takeaways on slide 12. We expect to grow organically through innovative product sales, channel enhancements and marketing prowess. We believe our efforts combined with a robust pipeline of new customer opportunities can provide further differentiation for our business and drive growth and profitability over the long term. Also, our M&A funnel development is on-going and we continue to be focused on programmatic acquisitions being a key element of our five point strategy. Our team continues to identify acquisition targets that we believe will bring differentiated and innovative technologies, provide complementary capabilities, or enable deeper or broader reach within our target markets and geographies. We made excellent progress in the first year of transforming and test with our five point strategy. We believe we are well on our way to unlocking the true potential as a company. We expect our investments and our leadership team, sales and marketing strategies, operational improvements, and acquisitions to ultimately enable us to continue to drive accelerated growth and build shareholder value. With that, operator, let's open the line for questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Jaeson Schmidt with Lake Street. Please proceed with your questions.
Jaeson Schmidt: Hey, guys, thanks for taking my questions. Sorry, if I missed it, but just want to make sure that I didn't. Was there any demand you were unable to ship in Q4? And if so, would you mind quantifying that?
Nick Grant: Yes. Hey, Jason, how are you? Great question. All of our businesses are seeing constant struggles to get the right parts in a timely manner to make the shipments. Now that said, they've done a good job of locating new sources. And, really were able to fill the gap and drive the revenue levels that we had anticipated coming into the end of the quarter with our guidance, finishing near towards the top of the guidance provided on that. So, I think in general, there's absolutely more we could have shipped had we got the parts going I don't have the sense really on how much that could have been.
Duncan Gilmour: It’s subsequent to find exact numbers, certainly the last couple of weeks of the quarter year, As Nick said, tremendous supply chain challenges which the teams did amazing jobs to kind of overcome get products out the door to a certain extent at a cost, as we've explained with respect to kind of margin percentage. So I would say, yes, more revenue could have been shipped had there been zero supply chain constraints. That said it, it's very tough to kind of put an exact number to that. But we certainly you're seeing the same kind of pressures; I think most market participants are kind of talking about and seeing. So fair to say yes, we could have done more but I really can't put a number on it.
Jaeson Schmidt: Okay, no, that makes total sense. And I know you indicated you expected a modest improvement in the supply chain in the second half. Just curious if that just relates to availability of components? Or do you expect the inflationary costs, the logistics, transport, etcetera, to moderate as well?
Duncan Gilmour: A little bit of both. I would say. Absolutely. Yes, we're trying to fill our inventory with the components needed. And, if our suppliers are able to deliver, we'll be in a better position in the second half. And as the pressure for supply freeze or lessens, it should put less pressure on inflation out there.
Jaeson Schmidt: Okay, and then just the last one for me, and I'll jump back into queue. It sounds like the integration of the acquisitions is going well, just curious if you've come across any surprises positive or negative? And now that you've had more time with each of these companies, and relatedly, how is traction with cross selling going?
Nick Grant: Yes, great question. And quite pleased with the integration efforts that we've been able to complete so far. So I'd say our integration plans are tracking as we expected. It's a sign of really a thorough due diligence process. And knowing what we're actually acquiring out there and what we want to do with it once we acquire it. So no big surprises, uncovering things here and there, but nothing that derails our plans and what we plan to do with these business.
Jaeson Schmidt: Okay, perfect. Appreciate the color guys. Thanks a lot.
Nick Grant: Absolutely.
Operator: Thank you. Our next question is coming from the line of Dick Ryan with Collier Securities. Please proceed with your questions.
Dick Ryan: Thanks for taking the questions. Hey Nick, I got a couple on the semi side of the business of roughly $55 million in revenues for 2021. How was that split front end the back-end? Do you have a rough breakdown there?
Nick Grant: Let's see. Yes, I do. I can give you a little bit on that. I mean, we're talking about low 30s on back-end and kind of low 20s on front end, roughly.
Dick Ryan: Okay, I'm trying to tie that...
Nick Grant: Let me just put it let me clarify that sorry. Sorry, because I pick it up. So sorry. It's more like mid-teens for front ends. I'm forgetting that there's a component there that I was thinking in the 22. So let me let me correct more like your high 30s back-end and kind of mid-teens on front end.
Dick Ryan: Okay, and then trying to tie that to the order large order you talked about on the front end, can you give us a little more color as to the size? Is it to your typical customers in the front end? Is it for any other applications that Enbrel’s delivering, or can you provide any more details on that?
Nick Grant: Yes, sure. So what we saw with this is, it's an existing customer, obviously, driving, expansion in their capacity to support the front end demand that the world is seeing out there for semiconductor devices. And that the size of the order was roughly 10 million that was placed, it was really what I would say, both to support their capacity, but also to cover traditional demand that we were seeing with that, but just securing supply, and getting the pipeline flowing throughout all of 2022. So this, these products will, will ship throughout 2022. So a bit of, given the pressures that in the supply components and everything, they want to make sure we're planning appropriately to support their needs. And we appreciate that and having that visibility, and, and so very pleased to be able to secure that, that order in Q4.
Dick Ryan: Is that's the largest order, you've seen them finance that $10 million seems pretty, pretty outsized versus what I had expected in the front end.
Nick Grant: I believe it is record order on that front end out there, that I don't have all the details going back in Enbrel’s history, to be honest with you. But since we've owned the company, it is.
Dick Ryan: Yes.
Nick Grant: And I think it’s also important to know, it's an order that's going to deliver over an extended period of time. So there's an element of from a supply chain perspective, the customer getting ahead of challenges, and really kind of placing that order kind of in advance, which is a little kind of atypical from what we've seen in the past.
Dick Ryan: Okay, one more on that on the semi side. Yes, it sounds like you got a little bit of applause on the back-end. And that's really kind of your gross margin driver, those products. That's what, how do you see that? That back-end market moving through 22?
Nick Grant: Yes, I mean, I can take that. So, I would say the back-end business has moderated from your record highs in 2021 is still strong and very strong in historic terms. So that's, so that's great. I mean, we do see in 2022 versus 2021. You're coming off those highs, pretty much in line with what we're seeing out there in the marketplace from kind of other participants in that kind of back-end space.
Dick Ryan: Okay, one last one for me. Nick, you talked about the growth and EV and Auto, can you give us just all my EV related business you did in 2021 and maybe even on the cannabis side, and how that compares to 2020?
Nick Grant: Sure, so on the automotive/EV, we kind of had a little comments in there relative to you know, we saw this market really provide nice growth for us in 2021. The revenue doubled, which I talked about. So it's kind of what we are driving around that EV space and bookings tripled. So we're our total automotive/EV business was roughly four, almost 5 million in 2021 bookings were twice that. And the EV portion of it from a revenue perspective was roughly just less than half of that from a revenue perspective.
Dick Ryan: Okay, any cannabis related business at the end of the year and what did that amount to for 2021?
Nick Grant: Yes, cannabis was relatively flat for us in 2021, from a revenue perspective. And it's -- we that industry saw a number of things, taking place consolidations that, and investments were, I would say, hampered in that space. But, we continue to strengthen our portfolio. We've made great progress, penetrating OEMs in that chiller extraction applications out there and we expect that that portion will ramp back up for us going forward here.
Dick Ryan: Okay. Thank you.
Nick Grant: Absolutely, Dick.
Operator: Thank you. [Operator Instructions] Our next question is coming from the line of Peter Wright with Intro-Act. Please proceed with your questions.
Peter Wright: Great, thank you for taking my question. And congratulations on a great quarter and a fantastic guide [ph].
Nick Grant: Hey, thanks, Peter. Good morning to you.
Peter Wright: Good morning. My first question is on visibility. If I look at your backlog, the more traditional turns in the mid-70s, pushed down to 60 in 65 days? How much of that is kind of timing in that one 10 million order? And is there -- is there anything structural that's changing to drive better visibility in your business? And the other point that kind of touches on the visibility is your sales guidance for the full year kind of suggests sequential growth through the year after, seven or eight quarters of sequential growth which is, which is untypically strong? What is behind that? Is it demand? Is it supply? Is it new products? Is it just getting closer to your customer? What is it that is giving you this better visibility?
Nick Grant: Oh, it's all of the above that you just mentioned there. We're driving as you know, part of our five point strategic plan innovation, expansion in our global reach and front end investments at service, so all that driving better visibility for us. And going back to the order, obviously, we got that order and Q4 we haven't shipped any of that. So that's in our backlog going in throughout the year with, very little or very, very little shipping in Q1 and most of it flowing in the outer quarters out there. So that, that is given us, a position that we haven't had in the past of really entering a quarter with, much more focused on just executing versus having to go out and get those book ship orders, if you will to convert on that. So it's our teams are, I'd say feverishly working on supply chain, making sure we get the components we need, and ensuring we have the resources to be able to build the products, and it's all about execution. So it's a good position to be in as we head in here to 2022. And of course they acquisitions are also part of that. Duncan, you want to give make a little…
Duncan Gilmour: No, no, I think you've covered it. I mean, to your first question on the percentage, yes. Obviously the large order we talked about that delivering over an extended period of time, drive some of that percentage. You're also helps give us kind of a bit more confidence you on the revenue side. The acquisitions coming in, as Nick talked about again, gives us your degree of kind of comfort in terms of those aggregate numbers and some confidence there. And I would just also say, I mean, although the, we're talking about the back-end Sammy piece, going to moderating a bit coming off these record highs. I mean, the sentiment out there across the semiconductor sector is still very strong. And your projections for kind of demand over the medium to longer term are very positive, both front end and then some additional back-end work, you're further down the line likely following on from that. So I think all of those factors give us that degree of confidence.
Nick Grant: Yes, and I would just remind everyone, the first time you see this company maturing, where we're giving a full year guidance out there, because we do have that competence. We really made great progress on our plans executing here. We're seeing the tractions. And we like the way this business is developing.
Peter Wright: Now, that's wonderful. My second question is on the semi side, is the demand in the press release, you refer to some new applications, which I'm thinking kind of is tech versus capacity. Customers are buying either capacity or tech. Can you can you frame up with us what is driving this record demand right now and kind of context of that how much his capacity may be helping us understand where utilization is on the tools in the field. And how much of it is kind of new application technology base?
Nick Grant: I think it's the adoption of technology that's been out there. You think of this silicon crystal growth application that's becoming predominantly more and more on the power management side of things, and that is the core technology and that's driving and fueling the growth on that front end piece for us. On the back-end, we've been driving innovative new products around high voltage high current to, to support more on that power management modules, evaluate testing side of it there. So we're entering new markets, we're benefiting from technology adoption. So it's all the right things we should be doing as we go after greater penetration in our targeted spaces.
Peter Wright: Very last question for me, if I can squeeze one more in. If I look at your operating expenses, as a percentage of sales obviously bumped up a little bit in fourth quarter for the reasons that you highlighted incrementally, you gave the guide for the year, should we expect that that is something that you feel comfortable maintaining in kind of the mid 30s going forward?
Nick Grant: I think what we're going to see Peter is, is going to bump up a bit in Q1. Yes we're investing in the acquisitions, to make sure we're getting them on the kind of right path, able to deliver, what we see is kind of great growth potential over the extended kind of time horizon for those businesses, as well as investing in the legacy business. So I think we see a little bit of a pop in terms of a percentage. We also, we also have your higher revenue expectations for your Q2 through Q4, if you kind of work through the numbers in terms of Q1 versus the full year. And we need to gear up a little bit for that. So what we're projecting you'll see as a higher percentage there in Q1, and then that come in and kind of back down more into that your range that we've seen the last few quarters as the business kind of stabilizes at the higher revenue, your level towards the back-end of the year.
Peter Wright: Phenomenal guide and call. Thank you guys.
Nick Grant: Absolutely. Thanks Peter.
Operator: Thank you. There are no further questions at this time. I would like to turn the call back over to Nick Grant for any closing comments.
Nick Grant: All right. Thank you, Darryl. And thanks, everyone for joining us today on the call and for your interest in inTEST. I would once again like to thank the entire inTEST organization for supporting and driving our transformation. Really great progress this past year, and our long term strategy and more to come. For our institutional investors and analysts if you've not already done so, please RSVP to attend our investor day. You should have seen invites. We are hosting our first analyst investor day in a few weeks on March 24 in Philadelphia. We certainly hope you can join us. Thank you all for the time this morning, and look forward to discussing Q1 results in May.
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Have a great weekend.